Operator: Good morning, and welcome to the CEVA, Inc. Third Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Richard Kingston, Vice President of Market Intelligence and Investor Relations. Please go ahead.
Richard Kingston: Thank you, Brandon. Good morning, everyone, and welcome to CEVA's third quarter 2020 earnings conference call. I'm joined today by Gideon Wertheizer, Chief Executive Officer, and Yaniv Arieli, Chief Financial Officer of CEVA.  Gideon will cover the business aspects and highlights from the third quarter and provide general qualitative data. Yaniv will then cover the financial results for the third quarter and also provide qualitative data for the fourth quarter and full year 2020. I will start with the forward-looking statements. Please note that today's discussion contains forward-looking statements that involve risks and uncertainties, as well as assumptions that if they materialize or prove incorrect, could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions.  Forward-looking statements include guidance and qualitative data for the fourth quarter and full year 2020; optimism about 5G base station RAN deployment in China, relationship with ZTE and opportunities presented by our sensing and connectivity technologies; optimism about the continued momentum in base station & IoT royalties; market traction associated a low end smartphone; and production schedule associated with our ADAS agreement.  For information on the factors that could cause a difference in our results, please refer to our filings with the Securities and Exchange Commission. These include: the scope and duration of the pandemic; the extent and length of the restrictions associated with the pandemic and the impact on customers, consumer demand and the global economy generally; the ability of CEVA's IPs for smarter, connected devices to continue to be strong growth drivers for us; our success in penetrating new markets and maintaining our market position in existing markets; the ability of new products incorporating our technologies to achieve market acceptance; the speed and extent of the expansion of the 5G and IoT markets; our ability to execute more non-handset baseband license agreements; the effect of intense industry competition and consolidation; and global chip market trends. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates.  With that said, I would now hand the call over to Gideon. 
Gideon Wertheizer : Thank you, Richard. Good morning everyone and thank you for joining us today. CEVA delivered a very strong quarter, highlighted by record royalties from our base stations and IoT product category and licensing agreements with major players in key industries.  Before we expand on our third quarter results, I would like to acknowledge the tireless efforts of our talented employees around the world that continue to deal with the challenges COVID-19 presents.  Through their hard work, we are successfully growing our business, keeping the commitments to our customers and maintaining the fast pace of innovation and new technology developments.  Thank you all.  Total revenue for third quarter was $25 million, up 6% year-over-year. Our licensing business continues to be solid, at $12.4 million for the quarter, up 10% year-over-year. Royalty revenue was $12.5 million, up 3% on a year-over-year basis.  We concluded 13 new agreements during the quarter, of which 5 were for connectivity and 8 were for smart sensing. Six of those agreements were with first-time customers. Target applications of our new licensing agreements include a strategic design win for ADAS with one of the largest automotive semiconductor player, which I will expand on later in the call.  Other target applications for our customers this quarter include digital imaging, true wireless stereo earbuds, smart TVs and digital conferencing systems for home use, a growing space as more people are switching to work from home permanently and upgrading their home office setups.  On royalty revenue, we had a strong quarter, driven by record shipments for our base station and IoT product category, formerly referred to as non-handset products. Royalty revenue from this category grew 86% sequentially and 105% year-over-year to reach a record $7.9 million.  We have benefitted from expedited 5G RAN deployments in China, which I will touch on later in the call, and from a series of product launches and shipments enabled by our Bluetooth, Wi-Fi and sensor fusion technologies.  In our handset baseband category, we saw a strong recovery from our China-based customers targeting low tier 4G smartphones and feature phones for India and other developing economies. Royalties from premium tier smartphones declined on a year-over-year basis as new 5G smartphone series launched last month uses modems from another supplier that does not incorporate our technology.  With that said, our technologies remain incorporated in the low-cost smartphone this customer launched earlier in the year, which continues to have strong market traction around the world.  Let me take the next few minutes to elaborate on two key developments in the quarter. The first is a monumental agreement in the automotive ADAS space and the second is the underlying drivers that delivered a step-up in 5G RAN royalties. The digital transformation in the automotive industry, of which ADAS is a key driver, has led to a dramatic increase in the usage of software and AI to analyze data collected by the cameras and radar sensors surrounding the car.  Furthermore, amidst the push by players such as Nvidia and Mobileye toward their own closed and vertically integrated solutions, automotive tier ones and OEMs are seeking for an open, high performance technology where they can take advantage of their in-house excellence while not being locked into a certain vendor.  Against this backdrop, our powerful DSPs, AI technologies and our collaborative business model set a comprehensive foundation that enable OEMs to become supplier-agnostic and translate their innovation into a competitive edge.  In this regard, the unique proposition of our leading-edge SensPro DSP along with our CDNN AI compiler technology were instrumental in obtaining a new comprehensive agreement we signed in the quarter with a major semiconductor player in the automotive space.  This agreement is based on a project our customer won with a very large automotive manufacturer in Japan for an ADAS solution for new L2+ and L3 cars which are projected to start production by 2025.  On 5G RAN, the transition from non-standalone to standalone mode of 5G new radio is already underway, in particular, in China. According to government data, Chinese operators have already deployed 480,000 5G base stations as of the first half of this year. This represents about a third of the global RAN market.  CEVA is a prime beneficiary of this upgrade cycle in China through our strategic relationship with ZTE. China Mobile, China Telecom and China Unicom have engaged ZTE in large scale for these deployments. As a result, its market share climbed to 30% within those operators.  Furthermore, in comparison to 4G, 5G presents higher content and a larger addressable market for us, resulting from the use of active antenna units, AAU, in the base station's radio units. Deployments of active antenna settings provide operators with a substantial increase in network capacity, data rates, higher energy efficiency and overall lower cost of ownership.  The latest advancements in active antenna technologies require massive DSP computing for algorithms such as massive MIMO and Beamforming, which can be optimally served by our advanced CEVA-XC12 and CEVA-XC16 DSPs.  We are therefore presented with additional content and higher volume opportunities, in addition to our proposition for baseband processing. Royalties from active antennas have already made a noticeable contribution to our third quarter royalty reports.  So, to summarize, our third quarter performance demonstrated the continued, meaningful progress we are making across our businesses. Our technologies for sensing and connectivity are fundamental to any intelligent device and will lead the transformation in 5G networks and the automotive space.  We are managing our business for the long haul and confident in our growth strategy. Yet, we remain determined and focused to drive efficiency and prudency to cope with the ongoing uncertainty COVID-19 poses.  Finally, I'd like to thank again our customers, partners and CEVA's hard working employees. Your health and safety continue to be our first priority.  With that said, let me hand over the call to Yaniv for financials and guidance. 
Yaniv Arieli : Thank you, Gideon, I will start by reviewing the results of our operations for the third quarter of 2020. Revenue for the third quarter was up 6% to $25 million, as compared to $23.5 million for the same quarter last year. It is the highest third quarter revenue we ever recorded.  The revenue breakdown is as follows. Licensing and related revenue was approximately $12.4 million, reflecting 50% of total revenues, 10% higher than $11.3 million for the third quarter of 2019. Royalty revenue was $12.5 million, representing 50% of total revenues, 3% higher than $12.2 million for the same quarter last year. Royalty revenue from our base station and IoT product line in the quarter reached a new record high of $7.9 million, up 86% sequentially and 105% year-over-year.  Quarterly gross margin was 90% on a GAAP basis and 91% on a non-GAAP basis, both significantly better than what we projected. Non-GAAP quarterly gross margin excluded approximately $0.2 million of equity-based compensation expenses and $0.2 million of the impact of the amortization of acquired intangibles.  Total GAAP operating expenses for the third quarter was at the upper-range of our guidance at $22.5 million. OpEx also included an aggregate equity-based compensation expenses of approximately $3.4 million and $0.6 million for the amortization of acquired intangibles. Total OpEx for the third quarter excluding these two items were $18.5 million, slightly above second quarter level and also at the upper-range of our guidance. Of note, the third quarter 2020 financials included a $1 million tax expense due to withholding tax which cannot be utilized in future years. Our third quarter 2019 financials included a $1 million tax benefit as a result of the successful conclusion of a tax audit.  US GAAP loss for the quarter was $0.7 million and diluted loss per share was $0.03 for the third quarter of 2020 as compared to net income of $0.8 million and diluted net income per share of $0.03 for the third quarter of 2019.  Non-GAAP net income and diluted EPS for the third quarter of 2020 was $3.6 million and $0.16, respectively. Our non-GAAP net income and diluted EPS for the third quarter of 2019 were $5.1 million and $0.22, respectively.  Other related data. Shipped units by CEVA licensees during the third quarter of 2020 were 349 million units, up 51% sequentially and 20% up from the third quarter 2019. Of the 349 million units shipped, 149 million or 43% were for handset baseband chips, reflecting a sequential increase of 50% from 99 million units of handset baseband chips shipped during the second quarter of 2020 and a 12% decrease from 169 million units shipped a year ago.  Our base station and IoT product shipments were a record 200 million units for the quarter, up 52% sequentially and 63% year-over-year. As a reminder, we have categorized all of our non-handset baseband chips under the umbrella of base station and IoT category since the beginning of this year.  As for the balance sheet items, as of September, CEVA's cash and cash equivalent balances, marketable securities and bank deposits were $153 million. We did not repurchase any shares during the quarter. We had approximately 500,000 shares available for repurchase.  Our DSOs for the third quarter was 57 days, higher than the second quarter level, but lower than the first quarter level.  During the quarter, we used $4.3 million of cash from operations. Our depreciation and amortizations was $1.4 million and purchase of fixed assets was $1.2 million, higher than the norm due to larger investments in hardware, computers, servers and engineering development software.  At the end of the third quarter, our headcount was 398 people, of which 331 were engineers, slightly down from a total of 401 people at the end of June.  Now for the guidance As demonstrated by our financial results for 2020 thus far, CEVA's products and customer diversity enable us to mitigate the disruptions that COVID-19 poses.  Amidst continued economic uncertainty, we expect our 2020 total revenue to increase over 9% year-over-year to a record annual high of $95 million. We believe the momentum we saw in the third quarter in base station and IoT royalties will extend into the fourth quarter.  On licensing, the demand for our connectivity and sensing technologies remains high. We are relentlessly working to translate these opportunities into licensing revenue.  Specifically for the fourth quarter, gross margin is expected to be approximately 88% on GAAP and 89% on non-GAAP basis, excluding an aggregate $0.2 million of both equity-based compensation expenses and the same amount for amortization of other assets.  OpEx for the fourth quarter is forecasted to be slightly lower than the last two quarters. GAAP-based OpEx is expected to be in the range of $21.9 million to $22.9 million. Of our anticipated OpEx for the third quarter, $3.5 million is expected to be attributable to equity-based compensation expenses and $0.6 million for amortization. Our non-GAAP OpEx is expected to be in the range of $17.8 million to $18.8 million.  Net interest income is expected to be approximately $700,000. Taxes for the fourth quarter are expected to be approximately $600,000 on both GAAP and non-GAAP basis.  Last, share count for the fourth quarter is expected to be approximately 23. 3 million shares.  And, Brandon, you can now open the Q&A session.
Operator: [Operator Instructions]. Our first question comes from Matt Ramsay with Cowen. 
Matthew Ramsay: I guess, just a quick clarification in your – I think the line broke up a bit on my end when Gideon was talking about the specific revenue for the base station business in terms of royalties in the quarter. If you could re-clarify what that number was and maybe what it was year-over-year. And then, the question on that front is with Huawei being under scrutiny and potentially impaired in terms of getting their own silicon from their own silicon division. How are you guys thinking, Gideon, over the next 12 to 18 months, what that might mean for your customers in the 5G base station business about their trajectory of filling in for some of those voids that Huawei might be leaving in the industry and how that might change how you're thinking about the potential over the next 18, 24 months for your business and royalties for base stations? Thank you.
Yaniv Arieli: I'll start with the first question. No, I don't think there was any line breaking. We didn't mention specifically any numbers related to base stations royalties in the third quarter. We did say, however, that our base station and IoT device – this is the bucket that we are now representing all the more – the newer technologies and markets that CEVA is engaged in over the years, have reached an all-time record high of $7.9 million. To remind you, that same category for the first half of the year was also $7.9 million. So, within one quarter, we have seen a tremendous growth in our newer market royalty.  Contribution, a big portion of it was from 5G base station ramp-up by ZTE. We did mention that. Small antennas and their market share growth into China, specifically. And the rest, it came across all the industries we're active in. We came in at record high Bluetooth royalties, Wi-Fi royalties, sensor fusion royalties. So, a lot of different consumer-related devices and infrastructure for 5G helped us reach that record number for this quarter.  And Huawei, I will refer to Gideon.
Gideon Wertheizer: So, Huawei, it's hard to answer how this shape up. Though Huawei was strong in the market, first of all, because they were superior in their technology, advanced than others, in specifically the active antenna that I refer. So, I refer in the prepared remarks. So ZTE is the second company today that offer an active antenna in production. So, in this respect, they are gaining share in China specifically. But how, on a global basis, the share of Huawei were split between Nokia, Ericsson, ZTE, Samsung, these are the names that do. It's hard to say at this stage.
Matthew Ramsay: My second question. Gideon, I understand that there may be some things you can disclose and some you can't. But I wanted to follow-up further on the new automotive design wins or agreements that you guys have gotten in place now with the tier one chip supplier that you mentioned. If there's any additional detail that you gave about number of chips per car, royalty potential per car, how broad that agreement might be in terms of auto units that it might be exposed to? Any additional details there would be super helpful. And congratulations on that win. Thanks.
Gideon Wertheizer: The automotive is a strategic market that we do. Last quarter, we had a very large deal around the power of the car and now we talk about ADAS. The only thing that I can say is what we said in the prepared remarks. First of all, it's a project, meaning it's a design win and it's one way pick. Meaning, if you do all – we have to follow all the step and then start the production, it will be 2025.  And the third, there is a sizable, large OEM in Japan that drive this project. And the third one, it's a mid-range car, that means volume versus the premium part. So, these are the three components that for now we can share. 
Operator: Our next question comes from Tavy Rosner with Barclays.
Peter Zdebski: This is Peter Zdebski on for Tavy. Congratulations on the great quarter. Maybe first ask one of the previous questions in a little different way since I would really love some more detail on the base station traction. Could you maybe give us an idea of how many base station units were represented in that $7.9 million of royalties or even some sense of the ASPs there? And then, as a follow-up, how do you see the runway in China in terms of the pace of the 5G rollouts and where they are in that deployment cycle?
Yaniv Arieli: We don't break out the numbers of specific customer of how many shipped unfortunately. But we do bundle it with the 200 million units that reached record high. So, of course, base station is on the lower and smaller quantities of those 200 million, but it's a significant contributor and a step-up from what we had before due to – as Gideon explained, both supplying the modem as well as the smart antennas, which their volume could be much, much higher than our traditional modem-only type of socket. This could be a few tens of antennas per base station, and that's the opportunity we have in the future. But we can't unfortunately open up specific volumes for specific customer. I hope that helps a bit.
Peter Zdebski: That helps a bit. Thank you. And then, as far as – do you see this – the pace of ZTEs rollout accelerating from here? And then how many quarters do you think that could be sustained?
Gideon Wertheizer: The prospect for 5G is bigger than bases because we speak about base station and we refer to the big one, the macro base station. But as time goes by and 5G, the technology itself becomes more mature, and that's something that in year, two years, no more than this, you're going to see smaller scale base station, private base stations. So, you think about manufacturing line of Toyota or Ford or whatever, and they can install their own 5G network, private network where they can use for their robotics with fast connection to the cloud where they do AI. So, we use the term transformation because the way to look on 5G is not just how many big base station you have and how many antenna hook to it, which is also a new one. And that's something that there are a lot of estimation, apart to each other in a big way. So, we don't know exactly. But we talk about here in millions of smaller size base station with antennas and all of them. We have the opportunity to have the content force for the baseband and for the active antenna.
Yaniv Arieli: To add one more thing, we talked about the opportunity with ZTE and it's an operator driven business for implementation of a city, of a place, of a network, we don't have ahead of time that visibility. It's always in the rear. It's when we get the royalty report for a specific quarter, we know better what was installed in that specific quarter. Bear in mind that next year, we're also looking to have another OEM start to deploy our solutions, which is Nokia. So, as soon as they get into production, it's not going to be only ZTE, but another base station. And as Gideon said, on top of that, we have other aspects of 5G and customers in that space that hopefully should be ramping up as well as we have licensed our technology to them away. And all this is in the pipeline in the coming years.
Operator: [Operator Instructions]. Our next question comes from Suji Desilva with ROTH Capital. 
Suji Desilva: Congratulations on progress here. Looking ahead to calendar year 2021, across the non-baseband, the 5G base station, the IoT connectivity, the sensors, can you talk about the strongest growth opportunities in the calendar 2021 because it seems like all three of those are doing well? I just want to know, maybe rank order, which ones would have the best opportunity for growth contribution looking out to calendar 2021.
Yaniv Arieli: So I didn't bring my glasses, so I don't see as far. But if I look at only 2020, because of the sight vision here – remember 2020 when we started the year, and this was pre-corona, our target for base station IoT was originally like a $20 million target, which was huge for us. As you will recall, a few years ago, we were at $4 million. A year ago, last year, we were $13 million. When we talked about 2020, this is a 50% growth that you don't see in the semi space, in the consumer space. But this was something that we believe that we could reach.  With COVID and all the things that are around us these days, we are today much more confident of surpassing that quite nicely and even reaching closer to 60% to 70% growth this year in 2020 because of the momentum on all these different markets. And finally, we're seeing these nice tractions, even better than what we started the year with.  Hard to say we didn't do our analysis for 2021 yet. It's still early. We'll do it as we always do in the first call of the year and try to give the – more data and insights around that. But for sure, if you look back three or four years where we were over then and where we are today, with north of $20 million in all these new markets, it is working out extremely well for us in all the different fronts. And this is part of the growth that we are looking into the future.
Suji Desilva: Okay. Thanks, Yaniv. That's helpful. And then perhaps second question for Gideon. Automotive, congratulations on the win there from me as well. Can you talk about the key factors that are driving CEVA adoption versus competitive solutions? Are there any shifts in automotive architecture or trends going into the L2+, L3 that make the CEVA solution more favorable versus competitors? 
Gideon Wertheizer: There is a high entry barrier to get into the automotive market in general. You need to have a pedigree. And we are, in this market, developing relationships with OEM, not just semiconductor, for almost four years now. Now specifically to L2+ and L3, just for people that don't really knows what is L2+ or L3. L2+ plus is basically similar to autopilot that Tesla has today. So, it's cautiously autonomous driving. And you have to have the substantial performance capabilities because you have to fuse many sensors. Many cameras – it could be 12 cameras and radars could be up to 16. So, you need to fuse them to get a holistic view of 360 degree.  Now, our angle is in two fronts. One is our DSP processing, and this specific customer take the leading edge DSP. We came out recently with a new DSP category. It's not just next generation. We call it SensPro and the theme of SensPro is two sensor fusion, meaning combining the inputs from different sensor. And that's one element. And the other element is the AI portion. And the AI portion, the key entry, the key point there is the software. And we came out early on, almost four years ago, with our compiler technology, which we call it CDNN, CEVA Deep Neural Network. And that was, in my opinion, instrumental to get the deal because the customer would see how it – you develop an inferencing software using our processors and other hardware that they have in the chip or in the system there. 
Operator: Our next question comes from David O'Connor with Exane BNP Paribas. 
David O'Connor: Just a couple of kind of follow-ons on my side. Maybe, firstly, Gideon, on the ADAS win, can you tell us which geography this customer was in? And then, the Japanese win at the OEM side, is that a platform win or is it just one car? That's my first question. And I have one or two follow-ups. 
Gideon Wertheizer: No. It's a platform. It's a Japanese OEM. That's the only thing that we can share at this point. 
David O'Connor: Maybe turning to the base station side, on the active antenna units, how should we model that long term? Can that grow to as big as the base station baseband? 
Gideon Wertheizer: Basically, for any baseband, let's say, cheap or baseband that is base station, you're going toward between 3 to 20 or even more antennas hooked together, okay? So, the way to model is at the minimum 3 times. It can go up with 10 times per base station. Of course, it's different chips. So, the price is also – the ASP is different between them. And for now, not all of our customers or players in the industry have that capability. We talked earlier of Huawei and ZTE having that. Others will follow and we have good chances of licensing these technologies to others, but yes, it's not yet across all the industries. So, this is something that we have been among the first to have. And we look at it as a nice, interesting growth opportunity in the near term, also in the licensing front. 
David O'Connor: And then, maybe as a final one. Can you talk us more a bit on the licensing pipeline? As we approach the end of the year and you start to look into next year, what is the kind of status of that right now? 
Gideon Wertheizer: So, licensing is looking very solid. Let's say, the hotspot there are 5G, all the different aspects of the base station. Yaniv said about newcomers into this market because the antenna portion, because of the volume, attract many companies. By the way, from different angle, it could be optical consumer company that integrate DSP for this one. It could be a networking company. It could be an antenna company. So, all of them will try to get a share in this very lucrative space. So, that's one hotspot.  The other spot is Wi-Fi. All the different aspects due to the access point, the people want to move to work from home, and IoT, different kind of IoT, then going forward, we have all the computer vision and AI. We have strong interest from all different. People have started talking about AR, now augmentation reality, mixed reality to wireless, that's going to huge markets with pricing all over the place, starting from $20 to $200.  So, the good thing about CEVA is that we have those common denominators that allow us to cover all those aspects. And then, whether it's a high-volume or whether it's a high-value market, and that's drive the licensing. It's spread all over the place. You cannot really see with any consolidation. It's everything that relate to IoT, which is sensors or connectivity. That's what we offer. 
Yaniv Arieli: And one more thing I would add that if you look at an annual basis, we're saying that this year, we will pass $51 million in licensing for the very first time after being at $48 million last year. And before the $48 million, we were at the $30 million level for a few years. So, within a very short period of time, we jump from $20 million to $30 million to $40 million, now to $50 million for the very first time or more than $50 million in licensing. So, those markets and those technologies that we went into really paid off on – and these R&D investment that we have put over the years has really paid off to increase the licensing activity. 
Operator: Your next question comes from Gus Richard with Northland. 
Gus Richard: Just on the ADAS win, is this just cameras and radar that you're doing sensor fusion for? Or does it include LiDAR, ViDAR or sonar? Or is that yet to be determined? 
Gideon Wertheizer: It's all of the above, meaning it's all of those sensors that you mentioned. And yet to be – at least from our standpoint, yet to be determined what sensor they've ended up. For sure, it will be radars and cameras. These are the must-haves. Whether they hook LiDAR there on top of it, it's to be determined. 
Gus Richard: And just a further clarification, there's a lot of vagary around L2+ and L3. Is this targeted towards hands-free highway? Or is it some other incremental improvement over L2? 
Gideon Wertheizer: Well, I hope people will not use it in cities. But the idea is that you put it in autopilot mode, it drives by itself, but you still have to hold your hands on the wheel and let it drive. I think it's a good solid gap filler between here and when you go to 11, 4, 5, than people, I should say, sleep in the car. 
Gus Richard: And then, on the base station, is your second base station customer contributing to royalty in the third quarter? And if not, when do you expect that to really start to kick in? 
Yaniv Arieli: No, we haven't seen yet that in production. This is our second customer. I believe we always reference to their earnings call and to their deployment of ReSharp [ph], which is underway and the modem piece from an RF perspective – and the modem piece these days is done by Marvell, and they are talking about the end of the year being ready for production. So, it should be early next year in production. And as soon as we get more information from them, we will be happy to share. But for now and this year, it's not yet in the numbers. 
Operator: Our next question is a follow-up from Matt Ramsay with Cowen. 
Matthew Ramsay: I think the conversation here has been really helpful on the longer-term drivers of the business. Yaniv, I wanted to ask a little bit about the fourth quarter guidance, if you could maybe walk us through the puts and takes a bit on revenue. It looks like it's going to be down a couple of million dollars sequentially. Maybe if there's any help you can give on which piece of that decline might be licensing versus royalty, that would be helpful.  And then on the royalty side, is the primary driver of it being down sequentially, just the shift in modem procurement for Apple? Or are there other things that are – that we should consider? 
Yaniv Arieli: On the licensing front, as Gideon said and we mentioned earlier, we're looking at a solid quarter overall in order to reach that north of $50 million. We always said that anywhere between the 11-ish to $12 million is something that we are comfortable with. When we were at the $40 million level, it was around the 10-ish million. Now the next step function was a notch higher than that. I think the beginning of the year was stronger in that. We cannot really time the licensing activity. And when you look at an annual basis, we are very, very happy with the results of this year, and this is where the licensing should fall in somewhere in order to reach that north of $51 million for the year, which was our initial plans, and we have hit the nail on that – or planning at least. That's the plan.  On royalties, as we also realized over the years, especially this year, there are a lot of moving pieces. There are pieces of the timing of introduction of lower-cost phone including by a lead US handset that came out earlier this year unexpectedly, and then that helped us in the beginning of the year. There was this Q3 ramp-up with the base station side. Because of COVID, there was a lot of consumer devices for home office. Gideon also talked about earlier that the supply is the magnitude of those. TVs, not necessarily a strong quarter in the second or third quarter of the year. It would be more of the Christmas-type of quarter, and this year was completely different. So, overall, we look at royalties after a very strong Q3 and with many good surprises and shifts there, while looking at something similar for the next quarter. And that's pretty much only to say right now because it's hard to guess. We need to look at the hindsight and get the royalty report and then calculate the numbers. But we're looking at something quite similar to where we are today.  So I hope that helps. Again, if you compare it to last year, we had a very strong Q4. It's sporadic after being in 2019 Q1. Q2 was in the $10 million, $11 million range. And then Q4 suddenly jump. This year, we started with a great momentum in the beginning of the year at that $11 million, 12-ish million level. It's also something that we're very happy and feel comfortable, and that's pretty much how we see next quarter looking like. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Richard Kingston for any closing remarks. 
Richard Kingston: Thanks, Brandon. Thank you all for joining us today and for your continued interest in CEVA. As a reminder, the prepared remarks for this conference call are filed as an exhibit to the current report on Form 8-K and accessible through the Investors section of our website.  With regards to upcoming events, we will be participating in the following virtual conferences in Q4, the ROTH Technology Virtual Event on November 11, Wells Fargo TMT Summit 2020 on December 1 and 2, Barclays Global Technology, Media and Telecommunications Conference on December 9 and 10, and the Oppenheimer 5G Summit on December 15. Further information on these events and all events we will be participating in can be found on the Investors section of our website.  Thank you and goodbye. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.